Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2016 Forum Energy Technologies Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Mark Traylor, Vice President of Investor Relations. Sir, you may begin.
Mark S. Traylor - Vice President-Investor Relations: Thank you, Terrance. Good morning and welcome to Forum Energy Technologies first quarter 2016 earnings conference call. With us today to present formal remarks are Cris Gaut, Forum's Chairman and Chief Executive Officer, as well as Prady Iyyanki, Chief Operating Officer, and Jim Harris, our Chief Financial Officer. We issued our earnings release last night, and it is available on our website. The statements made during this conference call, including the answers to your questions, may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Forward-looking statements involve risk and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. Those risks include, among other things, matters that we have described in our earnings release and in our filings with the Securities and Exchange Commission. We do not undertake any ongoing obligation, other than that imposed by law, to publicly update or revise any forward-looking statements to reflect future events, information, or circumstances that arise after this call. In addition, this conference call contains time-sensitive information that reflects management's best judgment only as of the date of the live call. Management's statements may include non-GAAP financial measures. For a reconciliation of these measures, refer to our earnings release. This call is being recorded. A replay of the call will be available on our website for 30 days following the call. I'm now pleased to turn the call over to Cris Gaut, our Chief Executive Officer.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thanks Mark, and good morning. I will begin with a summary of our first quarter performance and make some observations about the current market conditions and outlook, and talk about our plan for Forum going forward. Afterwards I will turn it over to Jim who will discuss our strong liquidity position, our financial results, and new reporting segments, and then Prady will address our business improvement and operational excellence initiatives. Oil prices reached new lows in the first quarter of 2016, levels that made most E&P activity uneconomic. As a result oil and gas companies and our service company customers further reduced spending from already depressed levels. This low level of activity resulted in lower volumes for us and a 19% sequential decline in our revenue to $159 million in the first quarter, and our net loss per share was $0.22 excluding non-operational items. We have taken steps to further reduce our cost structure to address the very low demand volume we are currently experiencing. This helped to limit our decremental margins in Q1 and these cost saving measures will have a more significant impact in Q2. Despite the very challenging environment we've strengthened our financial position during the first quarter. Forum generated free cash flow after all capital expenditures of $23 million during Q1 and ended the quarter with $132 million of cash on hand. Our strong balance sheet provides us with stability, but also allows us to pursue a disciplined acquisition strategy and new product development. We also announced last night that we have acquired a small completion packer product business. We plan to expand this business using Forum's manufacturing capability and sales and distribution network. This acquisition is consistent with our strategy to broaden our offering of downhole tools and completions products to our oil service company customers. We are further increasing our leverage to the industry trends of longer lateral wells and more complex completions. We think there is an excellent early upside in this business once completions activity begins to improve. We also want to provide better transparency for our shareholders to our progress in this area, so we have added a new third reporting segment that brings together our surface and downhole completion product offering. We think this new Completions segment will be an important growth engine for our company and will complement our exposure to the midstream, downstream, and petrochem area in our Production & Infrastructure segment. And our exposure to drilling consumables and equipment, and ROVs in our Drilling & Subsea segment. Jim will provide more details on our new segment disclosure. Forum's total inbound orders during the first quarter were $141 million, it's an 18% decrease from the level in the fourth quarter. The first quarter book-to-bill ratio was 88% for the company as a whole, 86% for the Drilling & Subsea segment, 89% for the Completions segment and also 89% for the Production & Infrastructure segment. Orders were down sequentially for all of our upstream products businesses. The rig count has continued it's freefall during the quarter and our oil service company customers remain reluctant to spend on anything that is not absolutely necessary and they continue to de-stock their inventory of consumable items. This behavior by our customers will continue as long as drilling and completion activity is declining. Orders for subsea equipment were actually up sequentially as we received bookings for two remotely operated vehicles during the quarter. As we look ahead to the second quarter the constraints on customer spending remain in place despite the recent increase in oil prices and drilling and completion activity is still declining. As a result we expect to see our second quarter revenues decline by about 10% and we expect our decremental margins to improve on a percentage basis from the 30%s to the 20%s due to our cost reductions. Despite the current challenging environment Forum is in an enviable position with our available liquidity, cash flow, and strong balance sheet to endure this downturn. Due to our improved cost structure and operational capability and scalability we have been able to prepare for the anticipated upturn and we are confident Forum will be an early beneficiary of the market recovery with our focus on activity based consumable products. Let me ask Jim to take you through our results and financial position. Jim?
James W. Harris - Executive Vice President and Chief Financial Officer: Thank you, Cris, and good morning, everyone. As Cris mentioned, Forum is now reporting its results of operations in three segments versus two historically. The addition of the new Completions segment reflects the operational scale and the Completions businesses developed over the years through acquisitions and organic growth. The new Completions segment consists of the downhole and well intervention product offerings from the previous Drilling & Subsea segment and the pressure pumping consumable equipment and coil tubing joint venture from the previous Production & Infrastructure segment. We believe this reporting structure better aligns with the activity drivers and the customer basis for the respective operations. In the supplemental schedules to the earnings release we have provided the historical quarterly results of the three reporting segments for 2014 and 2015. I will now summarize our results for the quarter comparing the first quarter 2016 with the fourth quarter 2015. Consolidated revenue of $159 million for the first quarter was down 19% sequentially as activity levels have continued to decline. Our Drilling & Subsea segment revenue of $65 million was down 21% on softer demand for drilling capital equipment and consumable products and lower subsea activity levels. The Completions segment revenue of $34 million declined 23% sequentially due to lower completion activity in North America. Our Production & Infrastructure segment revenue of $61 million was down 12% on lower sales of surface production equipment in the United States, partially offset by increased sales of valves to the midstream and process industries. The net loss for the first quarter was $23 million or $0.25 per diluted share. The quarter included special items totaling $6 million on a pre-tax basis. The adjusted net loss, excluding these items and the associated income taxes, was $0.22 per diluted share. The special items were comprised of pre-tax charges of $4 million of restructuring primarily for facility consolidations and $3 million for the write-down of deferred loan cost associated with our credit facility amendment, offset by $1 million in foreign currency translation gains. We strengthened our financial position in the quarter, adding another $23 million to our cash balances. In addition, the amendment of the credit facility in the first quarter substantially reduces the carrying cost for the underarm revolver while providing sufficient liquidity currently over $300 million, including our $132 million cash balance, to pursue selective acquisitions and to continue to invest in new product development. We are confident in our ability to continue to generate good free cash flow throughout the cycle. While the second and fourth quarters include the outflow for semi-annual bond interest payments, which provides an added burden in those quarters, we expect to average around $20 million of free cash flow per quarter throughout 2016 despite the difficult market conditions. In this market the cash flow will come from working capital reductions. We completed an intensive evaluation of our inventories in the fourth quarter, and we are working across our product lines to convert a substantial portion of our remaining inventories to cash. At current depressed activity levels by achieving our long-term inventory turns target of three times we have the opportunity to reduce our inventory investments by over $200 million. It will take some time to get back to these levels on turns, and it will likely require some help from the market. In the healthier market in 2014 we achieved consolidated inventory turns of 2.6 times. Our first quarter operating loss was $20 million including $16 million of depreciation and amortization, but excluding the special items, and that compares to an $8 million loss from the fourth quarter. Our decremental operating margins of 36% for the quarter on the reduced revenue were in line with our previous guidance of the mid 30% range. Drilling & Subsea recorded an operating loss of $9 million, Completions with $6 million, and Production & Infrastructure had operating income of $1 million. On these extremely low plant volumes we are continuing to experience pervasive labor and overhead absorption issues, but we believe that maintaining the current capability will be critical to our response to the upturn. Our weighted average diluted share count for the first quarter was 90.5 million shares. Net debt at the end of the fourth quarter was $264 million down $23 million from the fourth quarter as free cash flow after capital expenditures was $23 million in the quarter. Interest expense is expected to be about $6.8 million in the second quarter. Corporate expenses were $6.9 million during the quarter, and we expect corporate expenses to continue to be around $7 million per quarter. Capital expenditures were $4.3 million in the quarter, and our 2016 budget remains approximately $20 million, which is sufficient for maintenance and select investments. Depreciation and amortization expense was $15.9 million for the quarter and should be similar throughout 2016. Our effective tax rate on the first quarter loss was 31%. For more information about our financial results please review the earnings release on our website. I'll now turn the call over to Prady to update you on several of our initiatives. Prady?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Thanks, Jim. Good morning, everyone. Let me describe our progress on positioning Forum for the upturn through streamlining corporations, with increased efficiency, product development, and penetration into key new markets. The downturn have accelerated our focus on streamlining our operations which has resulted in a permanent reduction in the cost structure. We have consolidated our global manufacturing operations and distribution facilities by more than 20% without sacrificing manufacturing capability. We have consolidated almost half of our service centers in the Completions segment while maintaining presence in all key basins. As of the end of the first quarter, the consolidation of our operations has been substantial. We have completed the consolidation of our Production & Infrastructure segment product offerings to provide focus on customer synergies and operational efficiencies. We continue to lower our labor overhead and SG&A costs. Some of these cost reductions will return during an upturn but a significant portion will remain. The permanent cost reductions are attributable to a variety of initiatives including in the area of procurement where our team continues to collaborate with the suppliers and consolidate our source base. Despite our reduced purchasing levels we estimate 2016 year-end savings rate of 15% to 18% compared to the 2014 procurement pricing levels. We have implemented the widespread use of lean manufacturing techniques that will produce more efficient operations and better cycle times and we're experiencing good early returns in this area. We expect to have all manufacturing employees trained on lean manufacturing principles by the middle of the year, resulting in tangible cost savings and improved manufacturing cycle times. Our engineering team has increased their emphasis on value engineering, which is both lowering of product costs and also saving our operating cost for our customers. We expect all these initiatives will result in more than $100 million of permanent cost savings and will partly offset the declining prices to our customers. An added benefit of these initiatives has been the impact on the safety of our employees. The measure or the positive impact of these initiatives will be magnified as the activity picks up and positions Forum for higher incremental margins and the eventual recovery. Now I will discuss our positioning for the upturn and collective investments. In anticipation of the recovery, Forum is making several investments including expansion in Middle East and in the midstream and downstream sectors, as well as developing new products. We are building our team in Middle East and expanding our operations and we expect to at least double our market share in the next three to four years. We will continue to expand our product portfolio through acquisitions and product development. We plan to commercialize about 20 new products in 2016. I'm confident that we'll be able to differentiate an improved market presence significantly when the market recovers. I will now turn the call back to Cris for concluding remarks and moderate Q&A.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thanks, Prady. At Forum most of our time since oil prices began to collapse in 2014 has been dedicated to taking the necessary steps to improve our cost structure and our operating capability and to maintain our strong financial position. With that foundation in place for the last few months an increasing amount of time has been spent planning for the recovery, which is likely to begin before long in the North American onshore market. Our consumables based product offering and geographic concentration mean that Forum will participate directly and meaningfully in the leading edge of that recovery and we plan to be prepared to exploit the opportunities it will present. I want to thank our employees for placing Forum in this strong position. Thank you for your interest. And at this point, we will open the line for questions. Terrence, please take the first question.
Operator: Our first question comes from the line of Jim Wicklund from Credit Suisse. Your line is now open.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good morning, guys.
C. Christopher Gaut - Chairman & Chief Executive Officer: Good morning Jim.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): I love your comment, Cris, and we're praying to the recovery which should begin before long. Your lips to God's ears. We actually think North American spending will bottom this quarter but I'm an optimist. The issue is pace of recovery, you know we keep hearing from all the E&P companies that they don't have any liquidity through the rest of the year, can you kind of walk us through how fast this thing could improve over the next two years. And more importantly, because you're positioning yourself to take advantage of it, do you have enough, are you as ready as you might need to be or is this going to be a very gradual recovery that's going to be staged and you're safe with your current planning?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, Jim, I think it's a real issue about the financial resource availability to the industry as a whole, particularly among the operators and some of the service company customers, particularly as a regards to expansion, but I think for Forum, the key factor will be getting to a point first of sustaining and maintaining the equipment and keeping it working, whereas for the past year it's been, gosh, our customers are thinking about parking equipment and therefore don't need to plan for sustaining and maintaining. So that alone would represent an uptick in orders for us if we just get to this stability part. But to your point yes, when we do see first an increase in completions – well completions activity that will involve putting stacked equipment back to work. I think there's been substantial amount of destocking that's taken place particularly in the pressure pumping area. And maintaining the equipment for putting an incremental fleet back to work will involve resupplying that rig – that spread with a lot of the things that we produce on the surface and then on the downhole side as well. So, I think that will result in a step change in orders for us. And yes, I think that we are ready for that. As Prady said, we have made sure that we maintain our capability, but Prady, you can address that.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: No, Jim, I think what we're hearing from our customers is anywhere from 45 to 55 depending on who the customers are, will start completely some docks. And any pop in the activity at these depressed levels helps us from an incremental model standpoint. But from a execution standpoint our constraint will not be rooftop, it'll not be equipment, it'll not be people initially, for – even if there is a 30% pop in the activity we can execute without adding minimum number of people because most of our operations are on a reduced schedule.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): That's helpful.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: The 20% pop is easier and then over time on the top, right.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Right.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Which also buys us sometime to start recruiting people, but we also have a huge inventory which will be the first phase of depleting the inventory.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay, that's very helpful, Prady. I appreciate it. My follow-up, if I could. In talking to a couple of merchant bankers and M&A specialists in the last couple of days they're now drowning in deals when they were playing tiddlywinks nine months ago and you just completed a deal, so it sure feels like the bid ask spread is narrowing in M&A, in stuff that you're looking at. Would that be wrong?
C. Christopher Gaut - Chairman & Chief Executive Officer: Jim, I think we will be moving into it a more active in acquisitions here, yeah. And to put the acquisition that we've just done in context and I think the advantage that we have there is what we've done here is buy a business, but we have bought the inventory. We bought the know-how; we bought the IP, but in this part of the market one doesn't need to buy the facilities and everything that goes with a fully complete standalone business which would be of more interest to the kinds of buyers that you're talking about.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Yeah.
C. Christopher Gaut - Chairman & Chief Executive Officer: We already have that productive capacity, so we're buying more of a product that we can make and we can distribute. And gosh, as I look around I think there are quite a few situations where service companies over time, got into some manufacturing businesses, which are at this point in the cycle a burden to them.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): An understatement.
C. Christopher Gaut - Chairman & Chief Executive Officer: And what we can do is – they got into those businesses so they could supply their own operations. What we can do is take that off their hands. Obviously there are synergies since we have available manufacturing capability. We can supply that service company with their needs going forward, but we can do what they couldn't do is sell to their competitors and leverage that more broadly. So I think there are quite a few opportunities there and that's a different kind of deal than the PE folks would be looking at.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Did you buy all of Team's packer business?
C. Christopher Gaut - Chairman & Chief Executive Officer: The wholesale packer business that is the kind of a standard packers.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. I know it, I know it, I know it. Okay.
C. Christopher Gaut - Chairman & Chief Executive Officer: Okay.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good job, good job.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thanks.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks guys.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thanks, Jim.
Operator: Our next question comes from Blake Hutchinson of Howard Weil. Your line is open.
Blake Allen Hutchinson - Scotia Howard Weil: Good morning guys.
C. Christopher Gaut - Chairman & Chief Executive Officer: Good morning Blake.
Blake Allen Hutchinson - Scotia Howard Weil: First I wanted to start with Jim's commentary that you've done another kind of intensive look at the inventories on hand. And as we related to the new reporting segments would you still say the preponderance of that inventory lies within what we now see as the Completions segment or maybe kind of rank where your inventory's held upon the reexamination.
James W. Harris - Executive Vice President and Chief Financial Officer: Yeah Blake, I'd say the biggest opportunities are going to be in the Completions segment and the D&S segment for inventory reductions. We do have opportunities across the product lines, but those would be the two segments with the most opportunity.
C. Christopher Gaut - Chairman & Chief Executive Officer: The valves business of course that being a sell from stock business as well. We have large inventories there, but given good stable strong demand, they're needing to re-supply and they're more in a steady state whereas the others, what you're saying Jim, can bring down inventories and will be a source of cash.
James W. Harris - Executive Vice President and Chief Financial Officer: Absolutely.
Blake Allen Hutchinson - Scotia Howard Weil: Okay and then, I guess with the re-org will also – trying to help us understand how these different businesses might move in different paces. The Completions business looks like the obvious first mover. At that size, do you really need not just an improvement there or the aggregate number really just needs to be here a lot higher to start to drive inventories or do you think it's just small increases will have a more profound effect on the inventory that you move?
C. Christopher Gaut - Chairman & Chief Executive Officer: It's all about volume here, right all we need is volume. So I mean we've provided some historical numbers. You can see how much bigger the volumes were in 2014 and then the early part of 2015. So once we get back to the point where we're completing wells again, man, there is a lot of potential in that business and it is just volume. So are we doing intensive completions? Are we doing a lot of stage counts per well? Are the laterals getting longer? I think we all know the answer to those questions is yes.
Blake Allen Hutchinson - Scotia Howard Weil: Great, and then just finally for Prady maybe. As we look at this re-org, we've been talking about kind of all of your initiatives in terms of purchasing sales, distribution, service center consolidation as kind of a network wide, but is the reality that when we think about the issues of managing through the downturn that each one of these divisions kind of has its own distinct silo in all those regards, or should we still think about this as a full company-wide effort and thanks, I'll hang up and listen.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: I think it's a great question, Blake. I think some of the initiatives which we started like the procurement of lean have been across the product lines which we started even before the downturn started, but let me give you a specific example. I mean the Production & Infrastructure segment is what we have consolidated under one leadership, just in the last few months. And if you look at it in the past, there was a functional team for each of the two product lines, and there were two leaders. And, but if you looked at that segment the customer base is upstream, midstream, and downstream. So the customer base is exactly the same, so there's synergies on the commercial side, but pulling those product lines together in the case of Production & Infrastructure, and also there's synergies to the cost, by consolidating the organization. So on one front we are getting the cost synergies, and on the other front we will maximize our commercial synergies since the customer base is the same.
Operator: Our next question comes from George O'Leary with TPH & Co. Your line is open.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning guys?
C. Christopher Gaut - Chairman & Chief Executive Officer: Good morning.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Curious, on my end, I think most of the discussions so far has been kind of North American centric. As we progressed through earnings season we've heard more and more on international pricing dynamics starting to head south and just given your – given you do play in the international markets, what are you guys seeing on the international pricing front?
C. Christopher Gaut - Chairman & Chief Executive Officer: Well, again let me stress that for Forum the issue is more volume than price, and that's the big difference for a manufactured consumable products company versus a service company. On the international side, volumes are declining. Activity is declining. I mean the one more stable area is the Middle East, we know that. But it's not a matter that we're going to sell more if we cut the price. People either need the products or they don't. Price is not the determinant here. So the valves side I think we've got a lot of potential to expand that business as well as in our Drilling & Subsea business that's the other international oriented side of things, and Prady, you've been driving an initiative in particular that you can talk about.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: I think to Cris' point, our valve business is predominantly a North American business, and we're in the process of globalizing the business. And the supply chain is, most of the supply chain for that business is Far East, so they're pretty competitive. On the other sectors like for example on the downstream sector, we have a product portfolio of electrostatic equipment, which we're in the process of globalizing, and I think Middle East is a great opportunity. Saudi Aramco alone have got 45 refineries which we're trying to capitalize. But there are several other product lines like even the downhole product line have done a good job of globalizing it. I think more than 40% of their top line comes from outside U.S., but we still have opportunity to globalize outside North America. But on the pricing front, I think the pricing we are seeing on the international side is not too far away from what we are seeing in the North America. Probably the only difference is in some product lines we are seeing some competition from Far East just because of the downturn, and that's the only impact on the international side. But from a pricing standpoint what we are seeing is North America is, the international is not too far away from that.
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, and the additional people resources that we're putting into the Middle East I think will help us drive each of these businesses that you're talking about.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Great, that's helpful color. And then you guys mentioned kind of another round of cost cuts in the first quarter. And as I seem to understand in late last year it seemed like you guys were kind of approaching the end of the runway from a cost cutting standpoint. I realized activity reached levels that are lower than most folks expected, so second round was needed. But what – maybe you could walk through, Prady, some of the incremental cost cuts that you put in Q1, and what those really were and maybe further outline how you're maintaining your capacity for the rebound in the wake of incremental cost cuts that you've recently made?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Yeah. And as you know from Q4-to-Q1 there was another 30% plus sequential decline on the rig count, so we had to look at the cost again, but the focus area for us was we executed two more consolidations in the first quarter. We also put the Production & Infrastructure business segment together, combining the valves business and the production equipment and also some exposure on the downstream side. So we got some cost synergies there. I mean we have reduced our SG&A again sequentially from 4Q-to-1Q, but listen if I had to break the cost activities I would break into two pieces. One is reacting to the market where we have scalable business, and the second piece which is the important piece is the efficiency, right. And that efficiency will continue throughout 2016 and 2017. We will keep making that business more efficient. By streamlining our operations, using the lean principles, consolidating our operations, that initiative will continue throughout 2016 and 2017, which we were planning to do anyways, but the downturn has just accelerated that activity.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Thanks very much, Prady. Thanks, guys. That's all from me.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thanks.
Operator: Our next question comes from Sean Meakim of JPMorgan. Your line is open.
Sean C. Meakim - JPMorgan Securities LLC: Hey, good morning.
C. Christopher Gaut - Chairman & Chief Executive Officer: Good morning, Sean.
Sean C. Meakim - JPMorgan Securities LLC: So this earnings season a lot of your oil services customers have been talking about the pickup in dialogue they're having with their E&P customers about the second half. Certainly a lot of your opening remarks were focused on the recovery. Just curious if you could characterize how those customer conversations are going within oil services and then maybe perhaps contrast that to just under a year ago, the last time we were on this potential road to recovery.
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, well, I would also say that service companies have also many made the statements that their visibility is still pretty poor, that they're working kind of week-to- week. Yes, there are more conversations with the E&P companies that if provided and if prices hold at certain levels and they will start doing something and kind of be ready, but it still has that conditional aspect to it. And I do think that most of our customers are going to have a down second quarter compared to Q1 and certainly cash is still a big concern across the industry for our customers and their customers. Now having said all that though it is I think a positive that the E&P companies are at least talking conditionally about the circumstances in which they would increase activity and asking their customers to be ready. I think that – it is I think a different mentality that those companies had versus a year ago when they thought they could just kind of tough their way through it and all it would take would be just pushing down service cost one more time. The E&P companies have been through a really tough time and have as a result come out of it with more efficiencies, selective on where their operations are active and making their own operations more efficient, not just relying on getting the service companies and the drilling companies to cut another X percentage out of their costs. So that will be healthier. I think it improves the economics for the E&P company and that will be I think beneficial for the entire industry.
Sean C. Meakim - JPMorgan Securities LLC: Understood, that's all very fair. And then, I guess, that one of the items from your opening remarks, I thought the Middle East market share plan was pretty interesting, I was hoping maybe if you could just dig into that a little deeper, just some of the puts and takes about how to bridge the gap from here to where you want to be in a few years?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Yeah, I think the opportunities we have in Middle East are on few product lines. I think on the completion product lines with the downhole products, we have opportunities on the completion products. On the valves front, we are not present in Middle East, Saudi Aramco alone buys billions of dollars of valves and then if you take the Middle East altogether they buy lot of valves and they are not present today in Middle East and we will take the opportunity of that.
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, there are huge petrochem and refinery projects underway in the Middle East, so they can sell more higher value products rather than just exporting crude as you may know, and gosh that potential demand it represents a great opportunity for us.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Absolutely, Cris. And also there are several refineries. In Saudi Aramco alone, there are 45 refineries and they are at a point where they need some upgrades and we do have few products which point to that space and we will maximize the product portfolio in Middle East on the downstream front apart from the upstream front here
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, and then even on the drilling side although there's certainly not much in the way of new rigs being built offshore or onshore U.S. the one part of the world where there is interest in the new generation and more efficient land rigs is the Middle East. And so we are producing some drilling capital equipment for those additional new generation rigs going into that market and it looks like that will continue.
Sean C. Meakim - JPMorgan Securities LLC: Those are all very good points. There is one other thing I would like to ask you specifically on the Kingdom. Certainly, if you think about the valves business that's been a pretty concentrated market and it's tough. Barriers to entry are pretty high. It's tough to kind of get in there, but certainly Aramco has been signaling a desire for more partners, to bring more folks in there. Any detail you can give us on kind of how those conversations go or kind of how that environment looks maybe versus how it could have looked a few years ago?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: I think it's a great question. In fact the last point you made is the important point is the Saudi Aramco is the Kingdom's focus now to localize and also to create more of a manufacturing kind of industry in the Kingdom will play to our strengths, because right now for us the Kingdom is pretty much a greenfield. And we do have the opportunity to play to that initiative of Kingdom is, as they would like to localize some of the manufacturing I think we could play a role there.
C. Christopher Gaut - Chairman & Chief Executive Officer: Both on the direct sale aspect, but also selling to the E&C contractors who are building a lot of this stuff, so we'll attack it from both sides.
Sean C. Meakim - JPMorgan Securities LLC: Yeah, that's all very, very interesting. Okay, great. Thanks, gentlemen.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thanks.
Operator: Our next question comes from Connor Lynagh of Morgan Stanley. Your line is open.
Connor Lynagh - Morgan Stanley & Co. LLC: Yes, thanks. I just wanted to touch maybe on the segment reorganization here. Could you guys frame for us the capital versus consumable or a short cycle exposure in each of the segments? And then can you help us think through how separate are these cost structures. So if I think we're all sort of under the assumption that Completions accelerates first year. What kind of margins can you get in that segment if some of the more capital exposed ones are slower to accelerate?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, so the Completions business is very largely consumable products. In the back of the press release we provide historical information on each of the segments and if you look back there in Completions including the margins, you can see what the margins were like and that was not capital equipment oriented. That is the margins on this consumable business when well completions are taking place. So I think there's a lot of potential there and its volume driven. Its volume, that's what this is about, its volumes. In the Drilling & Subsea segment, the Subsea business, Drilling & Subsea is about half capital equipment. The Drilling portion, if you look back in 2014 and 2015 was probably a third of capital, it would probably be less this year and then over on Production & Infrastructure, if you look back historically 40% to 50% was the well side production equipment business, which is although capital, it's a different kind of capital there. Every new well requires that well side production processing equipment. So in my mind it's not unlike the other things that go typically down a well and stay there. The production equipment goes at the surface of the well and stays there like a well head or something and every well needs it. So it's very much activity driven and as these 3,500 whatever it is number of ducts get completed they're all going to need that well site production equipment.
Connor Lynagh - Morgan Stanley & Co. LLC: Okay. And then on the second part there. Can you help us think through how separate the cost structures are and how your margins can look in one versus the other? Are you sharing a lot of facilities here? Are these very separate? Just trying to think through what we should think about as activity accelerates?
James W. Harris - Executive Vice President and Chief Financial Officer: Yeah, so Connor, Cris referenced the historical information on the Completions segment that has historically been our highest margin product lines. It currently because it is so activity based, it suffered the most decline in terms of revenue and margins, but the expectation is as we see a recovery those margins will improve as we have more volumes going through our plan. So we did expect to see that go back up more towards the high end of the margins. So I'd say the most opportunity is within that product line and then you can see how the other margins have behaved. Our expectation is that even without full recovery of pricing that we've lost during the downturn we should be able to get back in a healthy market, that close to the 20% EBITDA margins, but maybe not all the way there, even without full recovery in the pricing.
Connor Lynagh - Morgan Stanley & Co. LLC: All right, that's helpful, thanks a lot guys.
Operator: Our next question comes from Rob MacKenzie of IBERIA Capital. Your line is open.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Thanks, guys. I guess my question is probably for Prady. One of your larger competitors in the pressure pumping equipment space recently commented that he thought the state of the industry's treating iron was pretty dire across the board. Would you share that assessment? And if so how much activity in terms of the pickup and completions do you think is going to take to start seeing some new orders in that business for you guys?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: I think on the pressure pumping standpoint, I mean that business has been hit the hardest, not only from an activity standpoint, but also from a pricing standpoint. So I do agree with that, but also as you know, a significant portion of the fleet which exists today we don't expect that fleet to come back and the amount of cannibalization and destocking which has been done in that space even if the customers would want to get it back to the configuration they want I think after the first phase of a little bit of investments I think they need to start looking at capital investments maybe 18 months or two years down the road once the recovery starts happening. But the reason why we are excited about that space is some of the products we are commercializing is what that – the frac, the pad, the pressure pumping equipment, it's not durable and some of the products we are commercializing in that space are much more durable, in some cases 2x to life, in some cases 3x to life and these are the fluid ends, these are the power ends, these are the valves, which go into that space. So when the market does turn and the destocking and cannibalization takes its course, especially with the J-Mac acquisition, we do have the complete portfolio of the pressure pump and we'll take full advantage of getting market share there.
C. Christopher Gaut - Chairman & Chief Executive Officer: But we do think that there's been a lot of destocking, most of probably any of the sectors we serve in the pressure pumping consumables, so we would agree with that. I saw one statement from one of the big pressure pumping companies. They were asked, how much it would cost to put a frac fleet back to work if they needed an incremental fleet. And they were saying, more than $1 million and a lot of what they would need to do that is the kinds of things that we sell.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Right, exactly. And so the second part of my question would be, what kind of uptick in completions levels or activities do you think it would take to start kicking off that investment?
C. Christopher Gaut - Chairman & Chief Executive Officer: Even if activity kind of stabilizes, it would be a positive rather than continuing to stack equipment and be able to take the treating iron off of a – in the manifold trailer, off of a stack set of equipment. But once we start working down this inventory of ducts that will require some equipment going back to work, there's not a lot of that available inventory to support and it would need to be purchased and we've got it on the shelf.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: What we're also hearing from our customers is probably the first phase of recovery would be anywhere from $150,000 to $250,000 of spend initially for them to get going, and as the cash situation improves, to Cris' point, they need to make a decision of doing the capital spend which is about $1 million plus, which makes them much more efficient, but that's the second phase which is maybe anywhere from 15 months to 18 months or once the recovery starts.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Great, thanks, guys. That's all I had left.
Operator: Our next question comes from Michael LaMotte of Guggenheim. Your line is open.
Michael LaMotte - Guggenheim Securities LLC: Thanks. Good morning guys. Maybe I could (50:17) from Connor's question first. If I think about what the incrementals could look like over the next few quarters of recovery, obviously sales of finished goods out of inventory will have very high incrementals. So I think about the run rate of after kind of that initial push, maybe the way to tackle that is what's the current mix of fixed versus variable costs in each of these businesses?
C. Christopher Gaut - Chairman & Chief Executive Officer: So there is a lot – like any manufacturing company when volumes are very low, there is lot of unabsorbed cost. So initially the labor, the fixed cost, those wouldn't change. You're just able to actually be more productive, right.
Michael LaMotte - Guggenheim Securities LLC: Yeah.
C. Christopher Gaut - Chairman & Chief Executive Officer: The only incremental cost would be the material cost which you would take out of inventory and charge to the product. So yes, the incrementals would initially be quite high, and it would continue like that for a period of time.
Michael LaMotte - Guggenheim Securities LLC: Upwards of 30% increase in activity for Prady's comments earlier.
C. Christopher Gaut - Chairman & Chief Executive Officer: Yes. That's why I say this is about volume.
Michael LaMotte - Guggenheim Securities LLC: All right.
C. Christopher Gaut - Chairman & Chief Executive Officer: And unlike service companies we don't need the price recovery to get high incrementals
Michael LaMotte - Guggenheim Securities LLC: Yeah. And then on the run rate once you sort of get that initial 30%, fixed versus variable will change. On a normalized basis, what is roughly that mix?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, at some point we need to add the labor right, and initially that's going to be the existing folks getting to full schedules and then some overtime, which they would love to have, and then adding back some additional people. So the incremental cost then would be labor, but still would have good incrementals associated with it.
James W. Harris - Executive Vice President and Chief Financial Officer: A very, very high proportion of our costs are variable, so that's what's enabled us to adjust our cost structure in the downturn is to take out those variable costs. I mean across the product lines it varies, but on average about 75% of the cost is materials. And the rest is that labor and overhead, and our fixed costs for our plants it's relatively low, hence the low capital intensive model that we have.
Michael LaMotte - Guggenheim Securities LLC: Yeah.
James W. Harris - Executive Vice President and Chief Financial Officer: And that's why we generate such high free cash flow, so it's a highly variable cost structure.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: On the cost piece, the only point I'll make is, both on the variable side and on the fixed cost side, as we mentioned, as some of the costs will not come back. And that were the permanent cost reductions with the consolidations, with the efficiencies, and with the streamlining of the organization, that cost will not come back ever in the year in this system.
Michael LaMotte - Guggenheim Securities LLC: Right, and I would imagine too that your labor productivity is going to be a lot higher with the lean manufacturing this time around, so?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Correct. That's true.
Michael LaMotte - Guggenheim Securities LLC: A lot of leverage on that?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Yep, absolutely.
Michael LaMotte - Guggenheim Securities LLC: Okay. Prady, a follow up for you, as you've consolidated the supplier base, can you talk about the health of that group and variability to ramp up with you? As the cycle starts to come back here do you see any potential risks of bottlenecks upstream?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: No, it's a great question. To be honest that's one thing we've been focused on for the last six months is our constraint will not be the process, the equipment, the people piece. It could be supply chain if we don't manage it well, and that's what we've been focused on for the last six months. We have seen them exhausting the raw material and whatnot, which could increase the lead times. So we are putting contracts in place and aligning with the right source base who have the financial strength but will also survive not only the downturn but who can also partner with us during the upturn. So, it's a great point and our procurement team is focused on it for the last six months to make sure they don't become the constraints.
Michael LaMotte - Guggenheim Securities LLC: Super, okay. Thanks so much.
Operator: Our next question comes from John Daniel of Simmons. Your line is open.
John Daniel - Piper Jaffray & Co. (Broker): Hi, guys.
C. Christopher Gaut - Chairman & Chief Executive Officer: Hi John.
John Daniel - Piper Jaffray & Co. (Broker): Cris, you noted a high level of inventory on the ground within the Completions Group, and I think most people appreciate the growing levels of cannibalization in the frac market. But when the frac industry decides that it's time to put the equipment back to work, it needs those necessary component parts to reconstitute the add-on fleets. It doesn't sound like there will be much of an issue accessing the needed component. Do you think that's a fair statement?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yes.
John Daniel - Piper Jaffray & Co. (Broker): Okay. You mentioned also that the new components, fluid end, valves have two to three times the life. As you and your peers make better equipment, you then see that longer useful life as a potential risk factor with respect to demand for capital equipment, post the restocking, rebuilding phase, (55:28) because it's a better product?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, but gosh, that's the nature of this business, right. And so, we're all trying to become more efficient, and we need to or you get left behind. On the other hand, John, as we do more stages, and we get back to more pumping hours, more up time on the pumps, less time moving between wells, more pads. And of course pumping more sand is harder on the equipment. So there are some other factors there as well. So I think we'll be okay, but it's just – that's the nature of the industry.
Prady Iyyanki - Chief Operating Officer & Executive Vice President: The only point I will make is I think when you're launching new products which are much more efficient, the players who gain more are the ones who got low market share and we have low market share.
John Daniel - Piper Jaffray & Co. (Broker): Okay. Fair point. Just the last one from me, that newer generation equipment, if you will, that has the longer life, when did you start really introducing those products, and I would assume those products carry higher margins. I'm just trying to think as we go forward when times are good again if your margins could be better than what they were two to three years ago as a product mix?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah so, on the power end side, it was with our acquisition that's a year old and the development we've done since then on that power end, which we think will be best in class in terms of durability and horsepower for higher horsepower, longer durability, cut down in the number of pumping units. And then on the fluid end, that's a constantly drive, constant drive for improvement and that's an ongoing thing. And so it's a combination of volume, market share end price, John, gosh, not much mileage in talking about our pricing strategy though.
John Daniel - Piper Jaffray & Co. (Broker): Okay fair enough, thank you guys.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thank you, John.
Operator: Our next question comes from Marc Bianchi of Cowen, your line is open.
Marc Bianchi - Cowen & Co. LLC: Thank you. The first question on the guidance you provided for second quarter, average rig count seems to be declining in second quarter about as much as it did in the first quarter. So why would your revenues decline at a shallower pace than they did in the first quarter, I would think that the relationship would be sort of one-to-one?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yes, so not all of our businesses are tied to upstream North America, you take the valves business for instance, with the growing number of petrochem and downstream projects. We're getting good activity there and I think that will help. Actually, you know the Subsea business that is not solely an oil and gas market. Our subsea equipment is used in other places, for other markets and that are away from oil and gas. So you know that's where we're having some success and that's part of the fact, the answer as well.
Marc Bianchi - Cowen & Co. LLC: Okay so there is actually kind of a shift in mix as we move from the first quarter to second quarter, because I would suspect otherwise that really wouldn't have changed, okay.
C. Christopher Gaut - Chairman & Chief Executive Officer: Yep.
Marc Bianchi - Cowen & Co. LLC: And then just on the M&A capacity for sort of the rest of this year and in 2017, I think you kind of did a $150 million to $200 million in the 2012-2013 timeframe, what's the bank's appetite to kind of allow you to do those sizable deals and then how are you thinking about equity issuance to try to fund some larger deals?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, I think we're going to be very disciplined in the acquisitions side and cash is for everybody is scarce resource. We don't contemplate an equity offering. However, if in order to get an acquisition done, some portion of equity would help, you know we have to pay off some debt and then issue some amount of equity to allow the – say a PE firm to trade out of their private equity and that struggling entity to give them some upside, that might make sense for us for instance. So those are the kinds of things we would consider.
Marc Bianchi - Cowen & Co. LLC: Okay, great thanks for that, Cris, I'll turn it back. I guess we're at the top of the hour here.
C. Christopher Gaut - Chairman & Chief Executive Officer: Great, thanks. Terrance, we'll take one more question please.
Operator: No problem, sir. Our last question comes from Mike Urban of Deutsche Bank. Your line is open.
Michael Urban - Deutsche Bank Securities, Inc.: All right, thanks for sneaking me in. So kind of had a – just a kind of macro level question, so you changed the reporting structure with a greater emphasis on completions, the small acquisition and the Completions business. Is, in addition to just the greater transparency that you alluded to earlier, is that also a recognition of the change in the industry that we've seen since the downturn in terms of the secular drivers I think there is a view out there that at least initially there is a greater focus on completions, greater completion intensity relative to say drilling and then certainly the bait out there about where offshore and deepwater and subsea sits on the cost curve, we tend to be a little more on the bullish side, but even so it's going to take a while to recover. So I guess the question is, is that just a reflection of the opportunity near-term or you're seeing kind of a structural shift in the industry that's happened as a result of the downturn?
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah I mean, that's a bit of a chicken and egg question, Mike. But I would say that from the time we put Forum together six years ago. What we did not start with and businesses we've gotten through our first acquisitions was the Completions' space, because we saw the fundamental opportunities as more of the drilling and completion spend by the operators. It was moving towards the Completions part. And we have continued to build that business through acquisitions and internal product development. So I think this change in segments is a reflection of our strategy but that strategy is also reflective of how the business is changing.
Michael Urban - Deutsche Bank Securities, Inc.: Okay, got you. And then last one from me, more of a housekeeping kind of thing. You gave some color on how the revenue mix might shift a bit sequentially and you did give some guidance on the overall decrementals. Is the segment-to-segment variation and the decrementals, is that going to be entirely a function of the volume as you said a couple of times on the call or are the, some of cost cutting initiatives more heavily focused on one segment versus another?
Prady Iyyanki - Chief Operating Officer & Executive Vice President: Well I think the decrementals to Cris' point. I mean some product lines like valves is going to be – we expect valves to do much better primarily because of the petrochemical build out and some of the activities in the downstream side which is helping the rest of the portfolio, but your point on cost is, we've reduced our cost significantly in the first quarter and we continue to do that in the second quarter. Primarily all our efficiency initiatives are coming to fruition.
C. Christopher Gaut - Chairman & Chief Executive Officer: Yeah, that's right the cost savings have been spread across the company probably less in the valves business just because that business has been so stable, but it's really about the volume I would say, Michael.
Michael Urban - Deutsche Bank Securities, Inc.: Okay. So the role of decrementals should more or less track the sequential
C. Christopher Gaut - Chairman & Chief Executive Officer: Volume.
Michael Urban - Deutsche Bank Securities, Inc.: Change in volume. Okay.
C. Christopher Gaut - Chairman & Chief Executive Officer: Okay.
Michael Urban - Deutsche Bank Securities, Inc.: All right, that's all.
C. Christopher Gaut - Chairman & Chief Executive Officer: Thank you.
C. Christopher Gaut - Chairman & Chief Executive Officer: Well, we appreciate everyone's participation and good questions and look forward to talking with you again soon. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today conference. This concludes the program. You may now disconnect. Everyone have a great day.